Operator: Good day everyone. Welcome to the Xcel Energy Fourth Quarter 2014 Earnings Call. Today's call is being recorded. At this time, I would like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead.
Paul Johnson: Good morning, and welcome to Xcel Energy's 2014 Fourth Quarter Earnings Release Conference Call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; and Teresa Madden, Executive Vice President and Chief Financial Officer. In addition we have other members of the management team in the room to answer questions if necessary. This morning, we will review our 2014 full year results, reaffirm our 2015 earnings guidance range and update you on strategic plans related to business and regulatory developments. Slides that accompany today's call are available on our Web page. In addition, we will post a brief video on our Web site of Teresa summarizing our financial results later this morning. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I'll now turn the call over to Ben.
Ben Fowke: Thank you, Paul, and good morning. I'm going start by highlighting some of the key successes of 2014 and update you on some exciting developments at Xcel Energy. Teresa will provide more detail on some of these items. 2014 was another strong year for Xcel Energy as the Company reported earnings of $2.03 per share. This marks the 10th consecutive year we’ve met or exceeded our earnings guidance and the fifth consecutive year we delivered earnings in the upper half of our guidance range. In addition, we raised our dividend for the 11th year in a row. From a regulatory perspective, we made significant progress, wrapping up rate cases in Wisconsin, New Mexico and Texas. We received a constructive ALJ recommendation in Minnesota and most recently reached a favorable three year settlement in our Colorado electric case. When we filed the case in Colorado, we stated that our objective was to establish a multi-year regulatory plan that provides certainty for PSCo and its customers. This settlement accomplishes that goal and provides us a reasonable opportunity during our authorized return in our Colorado electric business over the next three years. From an operational perspective I also wanted to take a moment to say how incredibly proud I am of the efforts of our employees this year. We hit record levels of safety in 2014 improving for the seventh straight year. And again we demonstrated our top tier operating performance with industry leading reliability scores. Recall last quarter we unveiled our refreshed strategic plan that was focused on improving utility performance, including the goal of closing the ROE gap by 50 basis points and increasing the amount of revenue generated from long term regulatory agreement. Driving operational excellence by focusing on limiting annual increases and O&M cost to between 0% and 2%, providing our customers more options and solutions and finally investing for the future by focusing on incremental growth opportunities in our natural gas and transmission businesses. Today, we’re excited to update on the progress we’ve made on some of these initiatives. The electric utility industry is in the midst of a major transition and we’re committed to be on the front end of this change. We will be a leader in the same way we proactively implemented our environmental strategy over a decade ago. To this end we are pursuing regulatory changes to better align with the clear direction that customer preferences, federal policies and state initiatives are moving. Las month in Minnesota a collaborative report was issued by a diverse stakeholder group known as the e21 initiative. The group released a set of recommendations that are intended to act as a blueprint for a new customer centric performance based regulatory approach. Following the e21 report, we filed with the Minnesota commission a framework on how we envision enabling these changes. We focused on four key objectives; lowering carbon emission by 40% by 2013; pioneering distribution grid modernization; responding to changing customer preferences and providing new services and products; and finally pursuing more predictable and nimble rate recovery. In order to effectively bring about these changes, it is essential that the company have a longer term more holistic regulatory compact. Longer term multi-year agreements and additional writers are expected to improve visibility and supplement our efforts. Further the company has tools they can utilize to stabilize rate increases and make bills more predictable for our customers. We expect to work with the commission and various stakeholders in Minnesota in 2015 to develop this new regulatory framework and have requested a planning meeting in the coming months to discuss potential options in greater detail. We’re also exploring ways for us to avoid the need to file a 2016 rate case which will allow more time to concentrate on the longer term regulatory framework. In January we filed our resource plan in Minnesota which provides details on how we will achieve our commitment to reduce carbon emissions by 40% by 2030. This will be accomplished by significantly increasing the amount of solar and wind on the NSP system, adding natural gas generation, continuing our industry leading commitment to conservation programs, operating our nuclear plans at least through their current licenses and continuing to run Sherco Units 1 and 2 with gradual decreased reliance on those units to 2030. This proactive no regret strategy will better position the company and our customers for the long run and do so at an incremental cumulative cost of less than 3% to 2030. As a result, by 2030 63% of our energy will be carbon free at NSP. Clearly 2015 is going to be a transformational year in Minnesota. While much of our discussion is focused on Minnesota, we're also pursuing changes in our Texas jurisdiction. Along with other non-ERCOT utilities, we will be sponsoring legislation this session that will help reduce regulatory lag and allow us to continue to invest in the system to support growth in the region, which is continuing even in the face of a challenging oil price environment. Finally, we wanted to update you on our natural gas growth initiatives. As we mentioned last quarter, we plan to file a general rate case for our Colorado gas business, but finally we'll include a number of investments to maintain and improve the safety and reliability of our natural gas infrastructure. Concurrent with our rate case, we will begin working with our commission and major stakeholders to explore rate basing natural gas reserves as a way to take advantage of the current low natural gas price and to provide a longer-term hedge for our customers. Following our stakeholder and outreach and education, we expect to make a separate filing to begin the regulatory process. We're excited by the progress we've made and the steps we've taken thus far and I look forward to updating you later this year. So with that, I'll turn the call over to Teresa.
Teresa Madden: Thanks Ben and good morning. Today I'll be focusing my discussion on full year 2014 results. We are pleased to close out another solid year with ongoing earnings of $2.03 per share compared with 2013 ongoing earnings of $1.95 per share. The most significant drive related to 2014 earnings was improved electric and natural gas margins that benefited from new rates and increased rider revenues in many of our jurisdictions. Increased margins more than offset an unfavorable weather comparison and higher O&M depreciation and property taxes. It is worth noting that the weather in 2014 contributed $0.03 per share when compared to normal. In contrast in 2013, weather contributed $0.11 per share resulting in a $0.08 per share decline when comparing the two years. Now let me provide an update on sales and the economies in our local service territories. We experienced positive growth trends in 2014, with weather normalized retail electric sales increasing 1.3% and firm natural gas sales improving 4.6%. Sales in 2014 exceeded our original expectations for the year. While we are monitoring economic conditions in our service territories and are closely watching potential implications from changes in the E&P space. We remain confident in our 2015 electric weather adjusted sales growth assumption of 1%. Let me provide a little more detail on sales growth by company. Beginning with NSP was constant, weather adjusted retail sales increased 3.3% in 2014, due to strength in C&I sales from growth in the sand mining industry and related oil and gas businesses. Customer growth and modest usage increases drove higher residential sales. Electric sales at SPS increased 2.3% driven by growth in the C&I class. Oil and gas exploration in the Permian Basin continues to benefit the service territory and we saw additional growth in uranium enrichment. While we are watching the oil price closely and expect some producers to reduce new drilling activity, we anticipate that others will continue to grow production. PSCo sales increased 1.2% which was primarily attributable to strengthen the C&I class due to a new crude manufacturing customers in energy sector growth. Finally, NSP-Minnesota sales increased six-tenths of a percent driven by growth in the number of residential and small C&I customers and usage increases in the small C&I class. Economic conditions remain strong across Xcel Energy service territories relative to the nation as a whole. The consolidated unemployment rate in our region of 3.6% remains well below the national average of 5.4%. In addition, the number of jobs in our regions grew 2.3% during 2014 compared with 1.9% for the nation. Focusing more specifically on 2014 earnings, ongoing electric margin increased 215 million. Key drivers included implementation of final and interim rates which increased margin by 129 million, non-fuel riders increased margin by 57 million, increased transmission investment which improved margin by 31 million and retail sales growth excluding weather improved margins by 24 million. These positive impacts were partially offset by an unfavorable weather comparison year-over-year of 60 million as well as a few other items. The electric margin results reflect an estimated recent obligation for the Minnesota rate case which is relatively consistent with the recent ALJ recommendation and an estimated customer refund liability to capture the impact of our electric earnings test at PSCo. Margins on the natural gas side of the business increased by 49 million for the year; this is primarily due to rate release in Colorado, significant infrastructure investment that is captured in an annual rider and retail sales growth. O&M expenses increased 61 million or 2.7% for 2014, solidly within our original guidance of 2% to 3% increase. The increase is primarily driven by higher although moderating nuclear cost. As we have discussed in the past the key objective of our operational excellence strategic pillar is to limit O&M increases. We are reaffirming our 2015 O&M guidance of 0% to 2% consistent with our long-term objective. In addition I think it's worth mentioning that our 2015 O&M guidance assumption reflects a lower pension discount rate and adoption of the recently updated mortality table. Finally other taxes increased about 45 million or 11%, largely driven by higher property taxes in Minnesota, Texas and Colorado. Next I will update you on several regulatory proceedings; additional details are included in our earnings release. In Colorado we are pleased to have reached a settlement with Hardy’s that would successfully resolve our electric rate case. The agreement continues to the productive multiyear regulatory contract that we have been operating under since 2012. The settlement cost for the total increase up about 53 million or 1.9% based on an ROE of 9.83% and an equity ratio of 56%. In addition we anticipate the PSCo will differ about 3 million of expenses in 2015. The agreement also stipulates that both the Clean Air Clean Jobs and transmission riders are forward looking mechanisms. It is worth noting than in our original Colorado rate case we had proposed shortening the depreciable lives of certain assets, which would have led to a material increase in depreciation expense. As a result of the settlement, PSCo will not be implementing the depreciation changes and will avoid this incremental depreciation expense, alternatively we agreed to file a standalone depreciation study early next year that will be incorporated into our next rate case anticipated in 2018. The connection is expected to rule on the settlement in the first quarter and rates are expected to become effective in mid-February. Last month we received an ALJ recommendation in our Minnesota electric case. We were encouraged by that the judge acknowledged the strength of the company’s position on many of the key issues including pension, benefits and depreciation. Including the ALJ's recommended ROE of 9.77% and adjusting for sales and property tax trip we estimate a cumulative revenue increase of about 192 million for 2014 and 2015. Deliberations are currently scheduled from March. Turning to our Monticello prudence review, we have not yet received ALJ recommendation we believe the delay is related to workload issues for the ALJ and anticipate the ALF recommendation in February. We continue to believe that we acted prudently in making decisions throughout the course of the project, in addition to the surrounding communities and customers have a largely rebuild safe and efficient source of carbon free low cost power for many years to come. Importantly we don’t believe that the delay in receiving the ALJ’s recommendation will impact the current schedule and we continue to expect the commission to deliberate on the proceeding in March. In Texas we filed the rate case requesting an increase in annual revenues of 65 million or 6.7%. Our filing reflects the inclusion of posttest year rate base additions. One of the items we are seeking legislative support for in Texas. New rates are expected to be implemented by midyear. In South Dakota we put interim rates of our 16 million in place on January 01st and continue to walkthrough the regulatory process. Final rates are expected to be approved midyear. We also made progress on several other initiatives during the fourth quarter. In Wisconsin, the commission approved the settlement agreement which we reached last year with staff and intervenors for rate increase of 14 million or 2.2%. Rates went into effect earlier this month. In Texas the commission approved our settlement in the 2014 rate case providing incremental revenue of 37 million or 3.5%. Rates went into effect retroactive to June 2014. Finally in Minnesota the commission approved our gas infrastructure rider for 15 million with rates becoming effective in February 2015. In summary 2014 was a busy and productive year for us on the regulatory front. This morning we are reaffirming our 2015 earnings guidance of $2 to $2.15 per share. Our guidance range is based on several key assumptions as described in our earnings release, including constructive outcomes in our regulatory proceedings. Please note that some of the assumptions have changed due primarily to incorporating actual 2014 results. With that I’ll wrap up my comments. After a solid 2014 we are pleased to deliver earnings within our guidance range for the 10th consecutive year. We are reaffirming our 2015 earnings guidance range of $2 to $2.15 per share, our five year capital plan of $14.5 billion and our 4.7% rate based CAGR even when considering the impacts from the recently passed depreciation legislation. We continue to see improved economic conditions in our regions and experienced better than expected sales growth with 2014 weather adjusted retail electric sales growth of 1.3% and weather adjusted firm natural gas sales growth of 4.6%. We are making meaningful progress on the regulatory front, including the recent multi-year settlement in Colorado, and expect to reach a conclusion in the Minnesota’s case in the next few months. We delivered 2014 O&M expense growth within our guidance of 2% to 3% and continue to expect 2014 O&M expense to be flat to 2%. And finally we are well positioned to deliver an attractive long term value to our shareholders by growing earnings and our dividend 4% to 6% annually. So with that operator we’ll now take questions.
Operator: Thank you very much [Operator Instructions]. We’ll take our first question today from Michael Weinstein, UBS.
Michael Weinstein: Perhaps first if you can, you talked a lot about the future here, you talked about the IRP can you perhaps comment on the ability for itself to take advantage of opportunities perhaps in solar in the near term and perhaps in the long term. And perhaps also at the same time elaborate -- you introduced the comment other products and services perhaps could you elaborate a little bit on what you meant there as well.
Ben Fowke: Sure. And we’re going to add obviously as part of that the resource plan a tremendous amount of renewables both wind and solar. A lot of it comes in the ’20 through ’30 time frame. I think that gives us a great opportunity to own a good piece of those investment opportunities for couple of reasons. One, clearly technology will come down and it will most likely not have as much of the federal tax incentives that it does have now. Two, our tax appetite should grow in the coming year. So, I think we should be well positioned to take advantage of some of those opportunities. Your second question was regarding…
Michael Weinstein: I suppose you’ve made this, curious comment about offering other products and services. I am just curious if there was anything tangible?
Ben Fowke: I mean there is a number of things that we want to do. I mean increasingly customer want different energy mix. They want greener products. They want different billing options. It’s basically just responding to the trend that we’ve seen that consumers, one size that’s all which has been the traditional utility role need to change. And we want to work with our commission and their staffs to make sure that we do that in a way that’s fair to all and be flexible enough to move forward with that.
Michael Weinstein: Excellent and just if you don't mind commenting on transmission here, I would be curious, where does your transco strategy stand given some commentary from peers and the SPP market overall of perhaps a lackluster spend trajectory here at least for 2015? How does that jive with what you are baking into expectations and your own expectations for longer-term build out of the transco? And perhaps the clarification on the last question, does that mean for solar it's an opportunity for you all post the 2016 ITC? Is that what I'm hearing from you?
Ben Fowke: It means that it would be -- the opportunity improved significantly doesn’t mean we can’t do something before that. But as you know renewables are heavily driven by tax appetites and you need one to efficiently doesn’t mean you are fully precluded but to efficiently participate in those markets. Your question was about transcos and transmission. Well keep in mind that $4.5 billion of our CapEx over the next five years is in transmission, none of it is in a transco and none of it assumes that we win any of the competitive transmission projects. So when you looked at what’s come out of SSP and their ITP 10 plan I think it was about 300-odd million dollars of potential opportunities, by the way it looks like not an incident to get amount on that would go into the SPS. But we don’t have to -- that does not impact, that would be the icing on the cake. So, our strategy has always been two pronged. We have the utility vehicle to invest in, that’s where we are today. We’re in the process of getting approvals, final approvals on our transco so that we can participate in those competitive markets. I think we’re well positioned to do that. It’s gone a little bit slower as you mentioned than I think many people thought. It doesn’t really surprise us. I think there will be more opportunities in the years to come. And again I think we’ll be very well positioned to win in those markets.
Michael Weinstein: But to summarize, you feel confident in the 4.5 billion you have already delineated in executing on that despite perhaps a little bit of the lack-lusterness in SPP, et cetera?
Ben Fowke: Those by and large are identified projects so yes we feel very confident in that.
Operator: Ali Agha with SunTrust is next.
Ali Agha: Can you remind me, in your '15 guidance range right now, what kind of regulatory lag is assumed there? And best case scenario, how much of that do you think you can ultimately capture?
Teresa Madden: I mean just historically we've been writing about 100 basis points in terms of regulatory lag. And as we talked about is one of our properties is we intend to close that gap at 50 basis points. That's our target. Now if that's not evenly spread over the next year so we do intend to start to put that in place in 2015, so we are looking towards some improvements in that. It will -- the trajectory is again no ratable, but we'll move up. So it's smaller in the first year.
Ali Agha: But to be clear, you said the starting point in '15 -- I think the 2 to 2015 guidance, that is still assuming at the midpoint about 100 basis point lag?
Teresa Madden: Yes it's a little -- it's right around there. We've assumed it's a slight piece.
Ali Agha: Then my second question. As you mentioned, you ran -- weather normalized electric sales were up 1.3% in '14 ahead of perhaps your origin plan, but I noticed that for '15 you are still assuming 1% and I think for gas you're actually assuming a 2% decline, so why the slowdown in electric or what are you seeing in '15 that causes you to be more cautious?
Teresa Madden: We're just being conservative in terms of our overall outlook in terms of 2015. As we've talked to you and this goes for gas too in previous quarters, early in the year we had some extreme weather and we were always concerned. We had a little bit weather wrapped up in our overall sales, so both in the electric and gas business, so we're just being conservative Ali and saying that it's not any significant item that's driving us to keep it at that level the 1%.
Ali Agha: And then I wanted to be clear you know the comments you made that in your next Colorado gas case, you do plan to also ask to put some of your gas reserves into rate base. Can you remind us if that happens, what kind of increment rate base does that mean? And also, what is the mechanism? I was unclear, is it part of the rate case? Is it a separate filing? Just want to be clear on how this goes.
Ben Fowke: Yes I don’t know if we're actually going to talk very much about it in the actual case that we'll file to get recovery of core infrastructure investments, Ali. What I said is that we would do a concurrent filing, a separate filing that will take place most likely in the second half of this year. We're going to gather stakeholder input, understand what the important issues with our stakeholders are. Assuming those conversations and the filing goes well and I assume there'll be kind of open type meetings, then look for us to pursue a defined and more flushed out plan obviously in the 2016 timeframe. We purchased about 450 Bcf a year, so what is that, $3 that's about $1.2 billion of gas. Obviously we wouldn’t do it all, so you'd have -- you would lay into it slowly. I think with the emphasis more on our LDC business -- gas business in Colorado.
Ali Agha: Okay, but just the mechanism I mean, if it moves into rate base, you would want rate increases to reflect that. So would that be sort of put in as part of this rate case filing? Would that be a separate rate case? How would the rates be adjusted if you do get it into rate base?
Ben Fowke: It would be separate and it -- the whole premise is it's fuel for rate base and so how that mechanism would be determined there's different models out there as I think you're aware and we would -- that's the kind of input we want from stakeholders to understand what risk they're willing to bear and which risk they're not willing to bear and then we can move forward accordingly.
Ali Agha: And final question. In the past, Ben you’ve also talked about looking at opportunities where you have current BPAs and that may be expiring. Is that an opportunity to rate base some of those plants? As we look at calendar 2015, just looking at where you are in terms of contracts, et cetera, are there opportunities that could play out this year, or is this something that we should think about beyond 2015?
Ben Fowke: I mean I think there's always opportunities I mean -- and we're always looking for those opportunities to your point and so I can't promise anything, but we certainly are diligently looking at those opportunities.
Ali Agha: It could happen this year if something comes together?
Ben Fowke: It could.
Operator: Our next question comes from Greg Gordon, Evercore ISI.
Greg Gordon: First question is on the Colorado rate case. How much of a depreciation increase had you initially asked for that was subsequently removed in the context of the settlement?
Teresa Madden: Greg it was north of $30 million so.
Greg Gordon: Second question is on cap spending. And I'm referring to the slides you brought to my conference a couple weeks ago. They were pretty consistent, I think, with prior disclosures. You have a $3.375 billion spend in 2015. Declines to more or less $2.8 billion in ’16, ’17, then dips a little bit in ’18, comes back up in ’19. So that averages 4.7 but it's front-end loaded. And then you have made these subsequent filings in Minnesota, specifically on resource planning. So is the bias to potentially see if you get by in Minnesota to see that ’17, ’18, ’19 spend potentially go up?
Teresa Madden: Well, maybe I will just add there in terms of the spend, why we have that peak just as a reminder Greg it’s the wind in Minnesota the two wind farms that will go in service. And so that is really the peak up. And then in terms of relative to going forward, that once rates would change, assuming they do, we should level off in terms of our relative increases. So we do have the initial peak.
Greg Gordon: Right. I guess I am asking -- I know you are working; you have a rate plan to smooth in those increases. My question goes more towards the overall level of cap spending which declines as you get out into ’17, ’18, ’19?
Ben Fowke: Typically Greg and there are obviously no guarantee but as you know -- as we get into those out years the actual spend has historically tended to increase as we identify new opportunities or new needs within our spending parameters. And I think you also were asking about the resource plan itself that we found, and as I said I think that could create some opportunities for us albeit most of them would be in the later part of that five year forecast or even outside of that five year forecast.
Greg Gordon: Got you. So when we think about your 5% to 7% growth aspiration, this plan drives slightly less in terms of rate-based growth, and then improving regulatory lag to inside the range. But should you, in fact, identify more cap spending than that whole sort of calculus just moves up a bit.
Teresa Madden: We've tempered back the 5 to 7 to be closer to around 5% rate base growth as we look forward, so it’s a little bit lower than the 5 to 7 in past years I talked about.
Ben Fowke: So we always look for rate based opportunities Greg, to your point and also to your point the thing that will really drive earnings is closing that ROE gap, as Teresa mentioned. I think we are making good progress on that, and we're excited about continuing what has been a good deal for customers and shareholders in Colorado and I am encouraged with the progress we are making here in Minnesota.
Greg Gordon: Great. And then the final question is last year you raised the dividend first quarter, whereas in prior years you had raised it later in the year. What is your expectation of the current dividend cycle to this year and going forward?
Ben Fowke: Yes, we addressed that with the Board and so that you probably can assume that last year’s cycle will be more consistent going forward.
Operator: Our next question will come from Travis Miller with Morningstar.
Travis Miller : Hi. I wondered if you could talk a little bit about the impact on you guys from the oil price drop and how that might be incorporated or not in that 1% demand forecast, anything around that that would have a material impact?
Ben Fowke: I guess, let me start and I will let Teresa add if she thinks I have missed anything. One as Teresa we have got a 1% is probably all things equal fairly conservative sales forecast. So we have margin, reserve margin, if you will, but actually we don’t really see much in the way of we do sales coming out of the decline in oil prices, and to the extent we do keep in mind that, that is probably the lowest margin part of our business. So, I don’t think it’s a big impact Travis, really don’t and we don’t think it’s going to be a big impact on our capital expanding profile either.
Travis Miller : Okay. Great. And then one on the Colorado case, on the electric side. How much given though the adjustments you were able to get out of the Clean Air Clean Jobs, and the transmission into riders and such, how much now, give us a sense on a percentage basis or idea, is subject to demand? Demand sensitive in terms of earning ROE?
Teresa Madden: In terms of just a sales growth?
Travis Miller : Yes, needing sales growth to compensate for the net capital investment that you guys would see over this three-year period.
Teresa Madden: I think it’s very moderate in terms of that, because those were our biggest drivers in terms of that cost recovery and having those mechanisms in place. We are definitely predicting sales growth but it’s not dependent in terms of earning our ROE on having an aggressive sales growth achievement.
Ben Fowke: I would agree with that what Teresa said, I mean, of course the riders help with the incremental but I mean you got your core business, so sales growth is always an issue. But I think we have that reasonably paid and to Teresa’s point we are not assuming an aggressive sales forecast in those numbers.
Operator: Next is Chris Turnure, JPMorgan.
Chris Turnure: Good morning, guys. I wanted to follow up on the e21 initiative. You mentioned that you came out with the initial blueprint back in December and then you actually filed with the MPEC this month for a specific rider mechanism of some kind. You were a little bit high level with the description there. I wanted to find out a little bit more in the way of detail and find out more in the way of timing. And then also I wanted to understand the interplay between that request and then the fact that you have kind of bundled in some futuristic carbon goals as well. How do those two relate within that request?
Ben Fowke: I guess to try to answer that it’s all about having a longer term approach to what we're trying to accomplish in Minnesota. So, the resource plan we went out further here is what we can do by 2030 here is how we get there. Let’s focus on the key objective which is carbon reduction, must be very disciplined about how we achieve that carbon reduction using what we like to call technologies at the speed of value. So disciplined on how we approach it. And let’s make sure that our regulatory compact reflects that longer view. So yes we outlined general frameworks but generally what we’re looking for is longer term regulatory compacts. We like to see compacts three, four maybe even out to five years long. And within that things you can augment that with writers, you could use formulaic recovery type mechanisms and then have the incentives for achieving what I think the state wants us to achieve. So we less deliberately beg but we’re building off that e21 initiative which we participated in but we didn’t drive. So I really think there is an excitement here in Minnesota as we’ve outlined these plans and talked about how we can achieve these carbon reduction goals at a very-very modest price to consumers. So more to come on that but I think it’s a pretty exciting time.
Teresa Madden: Maybe just to add to that I mean and just to clarify Ben outlined the framework but I think you mentioned that we had made a rider request, we haven’t specifically done that, so just to add to Ben’s comment in terms of the overall framework.
Chris Turnure: Okay. Got you. So nothing specific with a rider request and then just stepping back, overall this is more driven by future growth, future spending, demands and initiatives, and then those are going to potentially necessitate some kind of rider or catch-up mechanism to compensate you for that?
Ben Fowke: There is different ways you can get there. So the point is that we’re moving to a different environment and we’re going to need the regulatory compact to evolve with it. And so the key takeaway I hope we it is that what we’re really seeking is a more comprehensive multiyear approach.
Chris Turnure: Okay. And then do you guys have any color around initial conversations there with regulators and then, separately, in either Minnesota or in Texas, initial conversations with policy makers and the timing around your legislative initiatives in both those states?
Ben Fowke: Well, let me just say that, I’ve had opportunity as have others on the Xcel team to talk about what we’re trying to accomplish. And as I mentioned I think there is a lot of excitement and I think there is -- the devil is always in the details as you know. But I think there is a lot of excitement that this is a way we ought to be going as a state. So that’s from a regulatory perspective. We like to potentially have legislation that would support that new regulatory framework in Minnesota. So, more to come on that obviously. In Texas I think we’re getting some traction it’s still little bit early days they haven’t even assigned - made committee assignments to the key committees that would drive legislation for us. But we haven’t seen any major road blocks at this point.
Operator: At this time, we’ll take the question from Jonathan Arnold, Deutsche Bank.
Jonathan Arnold: Quick one, you mentioned exploring ways to avoid a 2016 Minnesota rate case. Could you elaborate?
Ben Fowke: Let me take a stab at it. I mean first of all where there is a will there is a way. And I think as I’ve said there is really a will to let’s get to 2016 case out of the way and let’s focus on this longer term framework. So how we do that mechanically? Well, it starts with using the ALJ recommendations, getting our interim rate proposal adopted close to what we’ve proposed and then taking a look at our excess depreciation and maybe reshaping that a bit along with using some of our nuclear depreciation as well. So, there is a way Jonathan and it would be nice to free up the time so we could spend time on these other more longer term ideas that the community and we have.
Jonathan Arnold: It sounds like you might be reasonably well along with having getting that done? Is that fair?
Ben Fowke: Well, I think the first step in getting it done was a constructive ALJ settlement. So we've got something to work with now and then again if parties want to do it, I think we've got the pathway forward.
Jonathan Arnold: And then still another topic, the gas rate basing subject. How -- given the change in the commodity price, obviously it would seem interesting for some of your stakeholders to lock that in. How confident are you that you will be able to find the other side of the deal?
Ben Fowke: There's definitely an economic benefit to moving forward especially where gas prices are today, but we have to make sure that -- there'll be a lot of concerns. I mean this won't be an easy lift. But I think the economics are compelling enough that I would -- that I have optimism that ultimately we can get something done, but it's going to take time Jon.
Jonathan Arnold: My question was a bit more to the appetite -- you see appetite from producers to lock in these prices?
Ben Fowke: Well I mean that's -- yes, I think you can find the producers, that's not going to be an issue.
Jonathan Arnold: You're more focused on your side?
Ben Fowke: Yes, right.
Operator: [Operator Instructions] Next we hear from Ashar Khan, Visium Asset Management.
Ashar Khan: Teresa can you -- you mentioned the bonus appreciation, what is the cash flow impact?
Teresa Madden: Well the bonus appreciation I mean for basically the extension and.
Ashar Khan: Yes.
Teresa Madden: It's a combination, it's about 1.8 billion and it's [indiscernible] between the two years about 1.4 billion in '14 and about 400 million in '15 because we have some carry over.
Ashar Khan: So that's extra cash you'll get.
Teresa Madden: Well that's the bonus depreciation amount so that's a tax impact on that so.
Ashar Khan: So I can take that number and do a tax impact on that.
Teresa Madden: Yes.
Ashar Khan: And so is that now factored in into your -- I guess how does that help? Does that lower debt needs or how is that cash being used in the process?
Teresa Madden: Well we've factored into our overall guidance in terms of the effects of the bonus depreciation so we've taken that all into account. To the extent we have that, we also have some rate base offsets, so it's a combination, but we've factored that all into our 2015 guidance and our updates.
Ben Fowke: One thing you'll note Ashar is that we have reduced our debt plan debt issuance over the five year time period. The other thing is obviously some [indiscernible] depreciation comes in NOL and push forward because you can only utilize so much of it per year. So it's had a modest improvement in our cash flow needs or our financing needs.
Operator: And that does conclude our question-and-answer session. And at this time I will turn the conference over to Teresa Madden for any closing or additional remarks.
Teresa Madden: Well thank you for all participating in our earnings call this morning and please contact Paul Johnson and the IR team with any follow up questions. Thanks again.
Ben Fowke : Thank you everyone.
Operator: And that does conclude today's conference call. Thank you for your participation.